Operator: Good day everyone and welcome to today's program. At this time, all participants are in a listen-only mode. Later, you will have a opportunity to ask questions during the question-and-answer session [Operator Instructions] Please note, this call is being recorded. It is now my pleasure to turn the conference over to David Waldman of Crescendo Communications. Please go ahead.
David Waldman: Thank you, Keith and good morning, and welcome to the conference call for Lightbridge's 2015 fourth quarter business update. The company's news release was distributed after the market closed on Tuesday and could be viewed on the Investor Relations page of the Lightbridge's website at ltbridge.com. If anyone has questions after the call, you can contact Crescendo Communications Investor Relations firm for the company at 855-379-9900. Seth Grae, our Chief Executive Officer, will lead today's call. In addition, the following executives are available to answer your questions. We have Linda Zwobota, Chief Financial Officer; Jim Malone, Chief Nuclear Fuel Development Officer, and Andrey Mushakov, Lightbridge's Executive Vice President for International Operations. Today's presentation includes Forward-Looking Statements about the company's competitive position and product and service offerings. During the course of today's call, words such as expect, anticipate, believe, and intend will be used in our discussion of goals or events in the future. The presentation is based on our current expectations and involves certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge's filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements whether as a result of new developments or otherwise. You can participate in today's calls in two ways. First, you may submit questions for management in writing to ir@ltbridge.com, if you have already submitted a question we thank you. You can also submit at anytime during the prepared remarks or during the Q&A period and we will do our best to answer your questions. Second, after the prepared remarks, telephones lines will be open for live questions. Now here is Lightbridge's CEO, Seth Grae. Please go ahead, sir.
Seth Grae: Yes David, thank you very much and good morning everybody. As investors in Lightbridge were concerned about the stock price too. We are executing on our business plan and expect the market to respond to the major progress we are making. In 2015 and thus far in 2016, we've made extraordinary progress on our nuclear fuel technology. Not only have we met all the key fuel development milestones that we set for the year, but we also exceeded our expectations in terms of progress toward commercial deployment of our metallic fuel into the market. Our original goal was to have a commercial fuel manufacturing arrangement in place in late 2017 or 2018, but we expect current progress to lead to a final long-term commercial arrangement with one or more fuel manufacturers well ahead of schedule. In this regard, I would like to spend the few minutes discussing the significance of a joint development agreement that we entered into with the AREVA NP earlier this week. This development represents a major commercialization milestone. As the joint development agreement paves the way towards formation of a joint venture with AREVA NP later this year focused on developing, licensing, manufacturing and commercializing our fuel assemblies. As one of the largest nuclear fuel manufactures, AREVA NP has the resources and expertise to enable global deployment of our metallic fuel in commercial reactors. By many metrics AREVA is the world's largest nuclear company with vast capabilities around the world. We also view this agreement as a major milestone toward de-risking our overall fuel development and commercialization program for two main reasons. First, the agreement entails a cost sharing approach for the work scope that helps advance our technical progress and directly benefits our fuel project. Second, AREVA NP provides independent validation of technical and commercial viability of our nuclear fuel designs from a standpoint of the commercial nuclear fuel manufacturer. Since our public disclosure of a letter of agreement in December 2015, AREVA NP’s analysis of our nuclear fuel technology has lead to execution of the joint development agreement earlier this week. We believe this binding agreement with AREVA NP together with the earlier written expression of interest in our field from four major U.S. utilities to the U.S. Nuclear Regulatory Commission it evidenced that the largest players in the industry are embracing our technologies. With continuing support from these four utilities and our recent partnership with AREVA NP under the joint development agreement, we are more confident than ever that we will be successful in meeting our fuel development and fuel commercialization goals. We've also made several other important announcements recently that bring us closer to the start of demonstration of our metallic fuel under commercial reactor operating conditions in the Halden reactor in Norway next year. In January, we announced that the Institute for Energy Technology or IFE, which operates the Halden research reactor, received formal regulatory approval from the Norwegian Radiation Protection Authority for all planned irradiation of our metallic fuel at the Halden reactor. This was the final regulatory approval required to begin the testing of our advanced metallic fuel under commercial reactor operating conditions. This regulatory approval follows a safety report previously submitted by IFE to the Norwegian Radiation Protection Authority for radiation testing of Lightbridge-designed metallic fuel samples as well as the recently announced export license approval by the Norwegian Ministry of Foreign Affairs. Norwegian Radiation Protection Authority noted that safety advantages of Lightbridge fuel are significant, including much better thermal conductivity than the oxide fuel currently used in reactors, which contributes to significantly lower temperatures in the fuel and provides safety benefit and reduced likelihood for release of fission products should a cladding breach occur. It's important to note that the Halden reactor in Norway is located close to the Studsvik hot cell facilities in Sweden, which makes it easier to transfer a irradiated fuel samples from Halden to Sweden for examination at the Studsvik hot cell facilities. Upon post irradiation examination, we will have independent confirmation of the fuel performance results, which will be shared with utilities and our fuel fabrication partners to support licensing applications with the U.S. Nuclear Regulatory Commission and nuclear regulators in other countries for use of the Lightbridge design metallic fuel in commercial reactors. Shortly after the Norwegian Regulatory announcement, we announced that we had entered into in initial services agreement with BWXT Nuclear Energy Inc., a wholly owned subsidiary of BWX Technologies Inc., which is listed on the New York Stock Exchange. BWXT like Lightbridge has also headquartered in Virginia, BWXT is a government and nuclear operations unit and what used to be called the Babcock & Wilcox Company. This initial agreement with BWXT is to prepare a preliminary plan for fabrication of Lightbridge-designed partial length fuel samples at BWXT facilities in the United States. This plan is expected to be completed by early Q2 2016 pretty soon. While we deliberately keep our work in the private sector and not in government, our commercial goals are aligned with governmental priorities. The Paris agreement reached at the 21st Conference of the Parties or COP21 in December, commits virtually every country to reduce CO2 emissions and the U.S. Clean Power Plan allows credit for new nuclear power plants and power upgrades for increased efficiencies at existing reactors. We believe these credits for power upgrades will provide further support for our fuel in the U.S. making it even more economically attractive to utilities. We designed our metallic fuel to increase the power out for the reactors, exactly meeting the goals of the Clean Power Plan and COP21. Our metallic fuel accomplishes a power upgrade by increasing the power generated by the reactor every day the reactor operates, as well as by lengthening the fuel cycle so the reactor is shut down for refueling fewer days per year, and in pass to achieving global chemicals, must include an increase in nuclear power. Lightbridge technology allows that increase to happen without building new reactors. By operating the existing units, our fuel also enhances the economic and climate case for new reactors. We are seeing increased interest in our fuel designs from reactor operators in the U.S. and around the world. We look forward to announcing additional partnerships and support for our next generation fuel technology from the global nuclear community. We now have the right partners and regulatory approvals in place to commence demonstration of our fuel next year in a reactor under commercial operating conditions with important milestones coming out between now and then. We are on the cost of our fuel technology gaining an important place in the nuclear industry, given the significant economic benefits of our fuels for reactor operators. To put this in perspective, we can produce power at lower incremental cost than new build combined cycle gas fired power plants, even at that historic low gas prices that we are seeing today. Traditional nuclear cannot compete on price at these levels and we can generate base load energy without CO2 emissions or price volatility of natural gas. In addition to the financial benefits, our fuel provides dramatic safety advantages as evidenced by about 1000 degrees C reduction in fuel operating temperature compared to conventional uranium dioxide pellet fuel. Not only does our fuel operate at lower temperature, but in a design basis accident, it does not run the risk of generating explosive hydrogen gas. Assuming just modest penetration in the U.S. market, we have the potential to generate hundreds of millions of dollars annually and high margin royalty fees upon successful commercialization. Deploying our nuclear fuel design into the large and growing global market will further enhance this revenue stream. We are honored to have receive the award for excellence in the field of Environmental Technology Research at CleanEquity Monaco 2016, an independent panel of judges selected Lightbridge for this award, which was presented to us earlier this month by Prince Albert II of Monaco and Mungo Park, Chairman of Innovator Capital. One of is not be premier cleantech investment banks in Europe. The fact that we won this award among a field of companies including many varieties of clean technologies is gratifying and I would like to commend all Lightbridge personnel who have helped achieve our great progress. I would also like to thank Lightbridge's shareholders in this very challenging market. Given all our progress and the major milestones we expect to reach over the coming months in next two years, I’m confident that markets will begin to recognize the tremendous earnings power Lightbridge has as a fuel technology licensing company. On that note, I’ll now turn the call over to Lightbridge's Chief Financial Officer, Linda Zwobota to summarize the company's financial results for the quarter.
Linda J. Zwobota: Thank you Seth. Turning to our results for the year-ended December 31, 2015. Lightbridge's net loss was $4.3 million or a loss of $0.24 per share on revenue of $0.9 million. For the year-ended December 31, 2014, Lightbridge's net loss was $3.7 million or a loss of $0.24 per share, on revenue of $1.3 million. All revenue has been generated from consulting services. Stock-based compensation was $1.9 million for the year-ended December 31, 2015 compared to $0.3 million for the year-ended December 31, 2014. Excluding the impact of warrant revaluation for the derivative warrant liability, net loss for the years-ended December 31, 2015 and 2014 would have been $6.6 million and $4.8 million, respectively. Listeners can refer to the about non-GAAP Financial Measures section in our earnings press release. For the twelve months ended December 31, 2015, the Company's cash flows used in operating activities were $3.7 million versus $4.3 million used in operating activities for the same period of 2014, a decline of approximately 14%, due primarily to reduce overhead expenses in 2015. Turning to our balance sheet, as of December 31, 2015, the Company had approximately $1 million in cash, cash equivalents and restricted cash and approximately $100,000 of working capital with no long-term debt. Stockholders' equity was negative $1.5 million at December 31, 2015 compared with $0.8 million on December 31, 2014. Common shares outstanding at December 31, 2015 and 2014 totaled 18,628,957 and 18,082,874, respectively. The primary sources of cash available to us presently are equity investments through our equity purchase agreement with Aspire Capital Partners, LLC, and our aftermarket ATM agreement with MLV & Company. LLC. We have no debt or debt credit lines and we have financed our operations to date through our consulting revenue and the sale of our common stock. We raised approximately $200,000 in 2015 from our ATM financing agreement and as of the date of this filing, we have raised approximately $1.2 million in 2016 through our equity purchase agreement with Aspire. The ATM program and equity purchase agreement with Aspire provides us with greater flexibility to raise the capital needed to further develop our nuclear fuel. When we do raise capital through these programs, it is being done very judiciously and opportunistically to minimize dilution. In the meantime, we are focusing our effort on potential teaming agreement and other key transactions with strategic partners that could help offset our capital requirements going forward. I would also like to emphasize, we are carefully managing general and administrative expenses and reducing corporate overhead where appropriate. Every facets of corporate operations has been examined and where possible renegotiated to trim expenses and increase efficiencies. This concludes my summary. I will be available for your questions during the next segment of today's presentation. And Seth, back to you.
Seth Grae: Thank you Linda. Let's open the call to your questions. In addition to asking live questions by telephone, you can also submit questions in writing to ir@ltbriigde.com. We will pause while the operator Keith reviews the procedure for asking live questions.
Operator: [Operator Instructions] Now we can take our first question from Debra Fiakas with Crystal Equity. Please go ahead. Your line is open.
Debra Fiakas: Thank you. First let me congratulate you on your recent successes. As a testament, the question that I'm about to ask is in regard to commercialization efforts, you have come a long way in your development that you are now looking at the prospect of going out to potential customers. and I wanted to ask what will be the approach to the fuel cell providers? Are you dependent upon your relationship with AREVA and their participation in your approach to the fuel cell providers or is this something that you'll be doing on your own?
Seth Grae: Well thank you for the question Debra. And yes, we've made tremendous progress recently toward commercialization, the award in Monaco was for our innovation or R&D designing the fuel, which leads us now in to the commercialization stage. And this announcement is the biggest step we are taking along those lines when combined with the utilities that inviting us and helping us, which brings us a company like AREVA, they can manufacture and sell our product globally and large utility that can buy it. And those are the two major pieces of commercialization with us, essentially being a technology licensing company into that industry. AREVA is the largest nuclear company in the world by many metrics, they have great reach across the United States, Europe, Asia including China and as a wonderful partner for us, for all of our fuel designs, for power upgrades for existing reactors as well as 30% power for extra new build reactors. And they are one of the largest deployers of new reactors in the world across all those markets I just mentioned. So AREVA is about as good as it gets in the world as a commercial partner for us, but just as we're working with many utilities AREVA isn't the only one. We will also be working with other companies around the world in deploying our fuel in certain markets. And in fact, in some markets you can’t deploy nuclear fuel unless you are working with those companies. For example, I don't think you will see deployment in Russia unless you are working with Russian companies. So there are many markets for us around the world. So let me stop there and ask if you have more detail follow-up.
Debra Fiakas: No, I was just trying to get an idea of how you go over about approaching the fuel cell providers and I did want to get a perspective, I appreciate your comments on AREVA’s role and are you sort of tied at the hit to them or still have some independence after having forged this relationship with them?
Seth Grae: Okay yes. There are four main groups of entities that still over 90% of the nuclear fuel to world, there is the what are called the AREVA led group, the Westinghouse led group, the GE led group and the Russia led group. And though they are smaller companies in India, in Korea, in other places in Argentina that are starting to grow in Canada, but these four are the giants. And no, there is nothing in the AREVA agreement that will keep us from also working with these entities. Now we will give entities certain limited exclusivities to get a head start when they start working with us. So for a example, in the joint development agreement there are areas of exclusivity for working with AREVA until we announce the joint venture agreement, but no later than we ended of this calendar year. So we've worked well in the past with what I'll call the Russian group and we did the initial manufacturing and testing of our fuel in Russia. We've worked well in Westinghouse in many areas and now we are under certain limited exclusivity this year unit we announce the JV with AREVA and we look forward to working with AREVA on global reach, but in the end not only with AREVA.
Debra Fiakas: Okay, very good. I heard in the opening remarks a description of your capital situation and apparently couple of facilities that you still have some access to some new capital, but now that you have achieve this recent development what is going to be happening with your budget and your spending. Do you still feel like you have access to adequate capital to see you through to those 2017, 2018 time frame when you will began to realize royalty revenues?
Seth Grae: Yes, we do. It's interesting, our bank account balances have actually increased since our reported end of 2015 balances. As Linda said, during 2015 we very judiciously and opportunistically used our aftermarket arrangement with the MLV investment bank to take it $200,000 which is a pretty modest amount compared to what we could have under that agreement. And to-date we've in 2016 used our equity line with Aspire Capital to bring in about $1.2 million of capital from Aspire Capital selling to them under that equity line agreement, which is more than we spent in 2016 and that's a $10 million equity line overall. So just between those we have accessed two equity lines and given market conditions over the last few months we wouldn’t have wanted under those conditions to go into the market for a raise rates. And I think everyone would agree that selling what is essentially a current market price without employer fees, investment bank fees and others under these arrangement is much better and better for our stockholders than anything else we could have done. And as we've done in the past that we have arrangements in place that provide the capital we need, but as Linda said, we do have consulting avenue on top of that we also are working on strategic arrangements including outside the U.S. that could both provide capital to the company as well as both inclined and reduced our spend. And as Linda said, our overhead spending has fallen quite dramatically even much more than the amount of money we brought in versus prior years. I'll also add that in addition to our revenue and strategic opportunities and judiciously and opportunistically using our ATM or equity line arrangements as needed, we will go to the capital markets when we think we can get the right deals on for the benefit of all of our shareholders, but that's not today. And we have all the capital we need to execute on our business plan including everything we have to do we, have access to execute under this joint development agreement with AREVA. And let me just say under this joint development agreement, AREVA is bringing tremendous resources to the project. The joint development agreement is an extensive binding contract with a long and detailed scope of work. It covers steps that must be completed in order to form a joint venture company later this year to demonstrate and commercialize our nuclear fuel. This joint development company will manufacture and sell Lightbridge fuel and its going to be in existence we believe before the end of the year. So there is a pretty dramatic scope of work we are under with AREVA doing tremendous amount to that. The scope also covers some of the key critical path items in our fuel development program. So its limited what we can disclose publicly right now, but I think that gives you an idea of just the kind of resources AREVA is putting in having in these last few months done their own independent due diligence or technology to get to this point where they are putting in these resources. So let me thank you Debra for your questions and let's go on to others.
Debra Fiakas: Thank you.
David Waldman: So we will take moment. I'll read a few questions while we team up the next person for the Q&A and we touched on some of these questions, but will put out there. First, can you elaborate on the steps the anticipated timeline and expenses incurred by both Lightbridge and AREVA following the JVA and leading up to the formal JV?
Seth Grae: Yes, we are happy to. To the extent, we can under certain confidentiality, but let me ask Andrey Mushakov to comment on that.
Andrey Mushakov: Thank you Seth. I just wanted to elaborate a little bit on what Seth started talking about with respect to the joint development agreement with AREVA. Number one, as he pointed out is binding agreements, we previously disclosed in December, a letter of agreement, which was a non-binding letter of agreement. This one is a binding agreement; it's an extensive agreement with a lot of detailed scope of work that has basically approximately 100 different tasks that would have to be completed over the coming months. You noted us to form a joint venture company later this year, there is multiple areas where sort of those tasks are going to be focusing on. Obviously, things like the technical scope of work for the joint venture company, what the joint venture company would have to do from now on through actual deployment of lead best samples than partial and full course in more than one units of commercial reactors. So this is a very extensive multiyear scope of work that we have to develop and agree on during the joint development agreement phase. So that when we from the joint venture company, we have a very clear plan and the idea and schedule of what it takes to get this fuel to commercial markets and we’re talking about more than one reactor in that sense. Number two how we’re going to split the scope of work, we’re going to be doing what, where AREVA is going to be responsible for each tasks and what part of the scope or Lightbridge is going to be responsible for which parts and portions of the scope. So we have to agree on that so that when we form the joint venture company we know who is doing what and who is contributing to what. In addition to that obviously there are legal areas and legal issues, tax issue there are expert control issues that we addressed and worked out. There is also obviously the area of economics, economics for the plans for each individual plan market analysis, there is economics for the joint venture itself. And then how we’re going to split the economics based on the technology licensing arrangement that’s going to depend on who is contributing what and how much effort each side is going to be providing into the joint venture. So that is all part of this scope of work, very expensive scope of work. AREVA is going to be responsive on performance quite a bit a big chunk of the scope of work. Lightbridge will be working jointly with AREVA and providing inputs and taking delivery in certain areas. But as I mentioned, it's a very significant amount of work that needs to be done by both entities and some of the work actually includes critical past items that need to be done as part of our fuel development program. So that’s included in the scope of work. So basically they are going to be branch in not only the commercial organization aspects for our fuel but also the fuel development part as well under the joint development agreement.
Seth Grae: Thank you Andrey.
David Waldman: Thank you a related question to that is in light all of the in kind services that both AREVA and BWXT are contributing. Would this be - or in addition to future upfront technology access fees of license fees?
Seth Grae: Let me ask Jim Malone our Chief Nuclear Fuel Development Officer and really a leading figure in the nuclear industry answer that question.
James P. Malone: Thanks Seth. The contribution of services in kind is really important, because it gives us access to equipment for test purposes for example that we would have to pay quite a bit or develop and create on our own. AREVA for example, has the test facilities that are required to do mechanical testing, seismic testing, mechanical load testing, flow testing, heat transfer testing of the fuel assemblies to the point where they can actually determine the effects of having our new fuel co-mingled with existing fuel until we were able to get it full core of the new fuel. So having access to that kind of equipment and test facilities is extremely important to us and it makes a huge difference from the point of view of investment. It's a great support from them to give us the access for the JV company to those test facilities, the people that know how to operate them and the engineers that know how to interpret the data and perhaps tweak the design as a result of the efforts being made to do the testing. With regard to further investment that will be determined as we form the JV company and what the split if you will is between the contributions of each of the participants in the JV company. So that will be something that will arise. After the fact that would include for example technology access fees and the royalties to be paid in the future.
David Waldman: Thank you. Keith if we can open up the call for additional questions and then we’ll read some more questions that was sent in advance.
Operator: Okay [Operator Instructions]. We can go next to [Anthony Rock] (Ph) a Private Investor. Please go ahead.
Unidentified Analyst: Yes hi I’m very happy to be on the call here today and happy to hear all progress that everybody has been making over there Lightbridge, congratulations. I’m actually going to ask a question, because I have been following along and I believe everything that I'm hearing in. In 2020 say your company is making $100 million, $120 million per year, which is $20 million to $30 million per quarter. At that point, and your overhead and expenses are showing about $3 million per quarter. at that point there is a lot of profit, what would your company foresee for the five-year plan or a seven-year plan or a 10-year plan? Would that come to the shareholders as a dividend or be reinvested in future technology?
Seth Grae: Well Anthony thank you for your question. Allow me say our burn rate has been about $5 million a year and the timeframe you’re talking, I think it’s going to go up to about $6 million a year. So less than $3 million a quarter, especially with all the reduction in overhead costs we’ve had in our SG&A. And I think initially, it would come into the company you know show up as an increasing stock price and make sure that we don’t have to go out and raise additional capital ever again and fund ourselves from our revenue. But much more than 90% of the revenue will drop to the bottom-line, our margin on licensing the patents will be very high, I think much more than 90% and much will more than provide what the company will need to operate. So I think we would very seriously consider start dividing it out to the shareholders as that coming in, because we’re not looking to enter new business lines and do other things with that money other than had a full benefit or stockholders. That said, if opportunistically there are things for us to do a strategic acquisition or something, we might consider it. It’s a world or nuclear has been very down since Fukushima Energy has been down, there could be opportunities around the world that would be synergistic to what we do it would be any interest of our stockholders. But none that we’re looking at now or even consider doing today at today’s market capital stock price that we have, but we consider it. But I would say the answer would be, start out by keeping the money for a bit and then it’s now dividing it out to our investors.
Unidentified Analyst: Thank you very much.
Seth Grae: Great. Thank you Anthony.
David Waldman: So another question committed by investor despite all the good news the stock continues to underperform. Could you comment on why the market isn’t giving credit for all the positive developments?
Seth Grae: Yes. Let me, only first mentioned that the development as you say are extremely positive. We’ve completely executed on our business plan on-time even ahead of schedule in many areas and on or under budget. And we are funded and will be funded to do what we need to do under the business plan. The market response will be the market response and frankly we are a bit limited by what we can say under certain legal constraints in nuclear and under certain confidentiality restraints with our partners. And there will be more to come and there is no wink and nod here about what that means. But there is a lot we can say and a lot of that’s very good for our company and we expect to have more announcements and substantive announcements coming up over these next several of months and that’s couple of years as I said earlier in the call. But I will say that the best and smartest and greatest independent commercial and non-commercial people evaluating nuclear are seeing what we have. Four of the largest nuclear utilities in the United States are very publicly advising us and supporting us and its right into the nuclear regulatory commission of their intention to start licensing our feel next year for commercial use in the United States. AREVA Since the last several months, since December has gone through an extensive independent due-diligence on us in leading to the joint development agreement this week. The Energy Daily, one of the most knowledgeable nuclear related publications among other energy. Yesterday behind its payroll publish an article on us that for those that you have access to allows as NGO reading, if you want to pay that behind the payroll of Energy Daily. World nuclear news published by the World Nuclear Association, the largest and I would say most knowledgeable nuclear trade organization in the world based in London, wrote its extensive article that we send out by email alter and tweet yesterday, pretty comprehensively covering what we are doing there with AREVA and other areas of the company I’d encourage you to look at World Nuclear News which is not behind the payroll and you can access. Now the Nuclear Energy Institute, the largest nuclear trade organization in the United States today published that article itself, and actually while we’ve been on this call. And that’s now publically available through the Nuclear Energy Institute. AREVA in the U.S. has been re-tweeting some of our news yesterday which is a significant thing that they don’t always do. And the Nuclear Energy Institute has today in using its tweeter feed it’s one of the major public outreach efforts in the nuclear power industry. So I would say read what these independent non-Lightbridge entities are saying that have access to some of the smallest and best and frankly largest corporate entities in the world in nuclear. And as I say with what we expect to put out, we do expect the market to react but fortunately as we have done in the past we have put arrangements in place we can use it, while the market is not responding and I’d say that while we certainly want to see our stock price in the market cap much higher and think we will as we execute on and put out more news. We also have in place this ATM and this equity line which has resulted in increase in cash balances in the company through the course of the year, fully enough to fund what we need to do going forward as well. We do expect more in addition to that strategically, financially to our own revenues as well. But the market in nuclear if you look at us versus other nuclear companies that are publically traded that are in very different segments from what Lightbridge does, like Senturus which is in uranium enrichment business and Chemico which is in the uranium mining business. It is remarkable how their stock price just tracks ours nuclear companies are just tracking each other. And if you look at energy prices in general from oil, to natural gas to all the companies that are in the energy field even big ones like ExxonMobil it is remarkable how closely that tracks ours. And if you look at Microcap stocks like ours it is remarkable how much ours tracks what has been happening in Microcap and some of this for nuclear is since Fukushima it has been that way. Some of this in energy is since the collapse of oil and gas prices around that same time it's been this way. And we think people kind of have been looking at Lightbridge stock with options pricing kind of like a lottery ticket. That they might lose all their money, they might make a lot of money, but a page is so much for the ticket. But when you look at it instead as the discounted present value of future cash flow as Anthony Roth was alluding to during his question, we are looking what those future cash flows are then that is very different pricing. And when you look at the news as we put it out over the coming months, in the next couple years, I think people will be looking at it as the discounted present value of these rather large future cash flows, putting a discount on them. And that will be a very different stock price. So I will leave it at that as an answer to your question. And thank you for that question.
Operator: And we can go to Gary Sharpe with Sharpe Capital. Please go ahead.
Gary Sharpe: Can you please elaborate on the JVs that you mentioned that have the potential -- those contributing capital to the company in addition to any in-kind services? Then can you also provide an update or status of activities at CNL, the Canadian Nuclear Lab?
Seth Grae: Yes, well Gary thank you for the question as many of you know Gary has assisted us in Investor Relations and Communications in the past and always did a fantastic work for Lightbridge and it's always good to hear from Gary. And I’d say that first on the joint ventures and other arrangements. We do expect contributions of capital from some of the entities we are working with as well as significant in-kind work, specifically relating to AREVA it's their in-kind that Jim was talking about before. The companies like Lightbridge they just don’t have big industrial facilities that we can't do and we had a K4 it would be either beyond our reach or would be a stretch. So having their in-kind contributions is what's most valuable to us. And beyond that I’ll say that we will announce these arranges as we have them. And I think that’s all we can say at this point. Relating to Canadian Nuclear Laboratories, they are also doing excellent work for us. We started out dealing with them before their reorganization, when they were called AECL Chalk River Laboratories and AECL stood for Atomic Energy of Canada Limited and they went through a re-organization and became Canadian Nuclear Laboratories. And we started working with them when we thought we could do all at their one site in Canada, the fabrication of our new fertile samples, via radiation testing and their NRU reactor and on the post irradiation examination at the same site. It's a very old reactor and the government of Canada decided only to extend its operating license until about the end of the first quarter of 2018, which is not long enough to do all the testing we need to get the NRC approval for commercial use of our fuel. So we lost two of the three things we were planning to do at Canadian Nuclear Laboratories which was the reactor for the testing and the post irradiation examination of the fuel because if we weren’t making the fuel there we weren’t going to ship it at Canada from somewhere else in the world, and we moved the -- keeping the manufacturer of the fuel leader at Canadian Nuclear Labs or BWXT from a bad cost -- low cost company which are now sort of in a competition to make those for Lightbridge and only that decision is here to test them in the Halden Reactor in Norway and a post irradiation examine in Norway and nearby at stripes like in Sweden. Such that we lost two of the three things we were planning to do in Canada but replaced them with the work in Norway and Sweden and as for the third thing that continues in Canada, where they may very well make these nuclear fuel samples, they are doing excellent work, there is excellent facility there, excellent capability of the Canadian Nuclear Labs as there is a BWXT. We will move forward with one of them for the manufacturer of these fuel samples while in parallel we are moving forward with AREVA for manufacture of the commercial fuel for commercial reactors. Do you have a follow-up to that Gary?
Gary Sharpe: I do, have the announcements of the AREVA and other agreements affected the pace of the work at CNL? And do you have any way to disclose the interim milestones of that are being achieved at CNL?
Seth Grae: No, we are under very strict restrictions by the U.S. and Canadian governments and our contracts with CNL. This is sensitive nuclear technology related and relates to Canada’s capabilities at an important nuclear site and we have released what we can publically, we will release more as we can. But I’ll say that what we are doing with AREVA -- I don’t think really affects the pace of what's happening at CNL or BWXT. Building a separate works scopes for fuel samples for the reactor in Norway, and have not been slowed down by what we are doing with AREVA and we are speeded up by what we are doing with AREVA. It really is a separate work scope.
Operator: And we have no questions at this time.
Seth Grae: So David back to questions from email.
David Waldman: Yes, so our next question is, what are the regulatory approvals will be required leading up to and are following the irradiation testing at the Halden Reactor?
Seth Grae: Well, I’d say that what's so important to that what we have announced is that the regulatory approvals are really in place in the United States and in Norway. The only factor we expect in the future things will be a little easier as there is a new, what is called one, two, three agreement for Civil Nuclear Corporation between the U.S. and Norway. We expect the countries to find very soon and go to Capitol Hill where unless Congress rejects it in 90 legislative days will come into force this year. And there is no opposition whatever on Capitol Hill absolutely zero and no oppositions in Norway cooperation as that was under the last corporation agreement with Norway. So we have the approvals in the U.S. and Norway to go forward, and in Canada and in Sweden and if you look at our investor presentation you could see the presentation on the homepage on our Web site or in the Investor Relations part of the Web site and on the Events part of the Web site, the links will all go to the same presentation, you will see the fifth slide the third self suited slide, sort of goes to all the major steps with Lightbridge to Canadian Nuclear Labs and BWXT to make the fuel samples, they are going to Norway for the testing under commercial reactor conditions and the reactor of Sweden for some of the post irradiation independent confirmation those result have been used by us with the Nuclear Utility Fuel Advisory is big U.S. utilities for applications to the NRC, and then licensing where AREVA would work and other companies could work with Lightbridge on manufacturing our fuel commercially and then license it out into the commercial industry like the Nuclear Utility Fuel Advisory board member utilities and as the entire development and commercialization path. And every single step on that path already has at least preliminary contracts in place like this binding joint development agreement with AREVA and government approval in place already. So, now we're executing on that and that's going to lead to significant milestones reached at least once every quarter.
David Waldman: The next question is if you could comment on the outlook for the consulting services, the margins decline in 2015, where do you see both the revenue and margins trending in 2016 and beyond and what is the status of current negotiations with potential partners?
Seth Grae: We started this consultant business in 2008 when we were working on this concept of this metallic fuel for power upgrades that we the announced in 2005 and a little over five years, about five and a half years, since we announced the concept of the metallic fuel for, metallic fuel development, we have designed it, we have patented it, we have all these contracts and government approvals in place to develop it and commercialize it, but in 2008, we launched a business to help fund it and that's a business that didn't exist that we thought needed to exist in the world that it existed in 2008, which was -- there were countries thinking about starting nuclear reactor programs that never had been before and hadn't been done in well over 30 years, since China was the last country before that, started nuclear program, and they never had reactors before and there was no company in the world that could really invite countries from scratch and had a go at getting the nuclear power program and independently do that not like, say GE trying to sell its reactors, GE won't get by the country or by Westinghouse reactors and it is a Grid Better et cetera, and Westinghouse or GE or others couldn’t advise countries on how to setup nuclear regulatory regimes because they can’t regulate themselves. And in order to develop and deploy a new nuclear fuel you have to know all of this, you have to understand all of the vendors, all the manufacturers, all the nuclear technology throughout the plant, part of the brilliant design of Lightbridge's fuel, is how to integrate and understanding of the whole fuel, how we're dealing with water flow through other parts of the core because of our fuel, how we're effecting the pumps in a positive way in other parts of the plant because of our fuel and how that all comes together to bring safety and economic advantages and we really thought we had the team and we can bring in contractors to advise a country from scratch on how to launch a nuclear power program and evaluate whether to get one. And our first client was the U.A.E. and in that full year of 2008, we brought in $22.2 million of revenue from the U.A.E. at 50% gross margin, $11.1 million in margin to our company. And since then it's tapered down particularly because of Fukushima because of declining energy prices, it's not that Lightbridge has lost contracts in other places, it is there haven't been other things like this, what's happened instead our state own into these on one-off negotiations like Russia paying to deploy reactors in Bangladesh. But we have picked up a lot of work, in Kuwait for the Gulf cooperation council of six countries around the Middle East, we've picked up work for U.S. utilities, and are doing some new work that we haven't announced publically but in the U.S. this year, that's confidential, that is helping to bring in cash right now. But materially not to announce, but material enough for some of what we're doing. We have picked up work in South Korea, very important safety related nuclear work it's been public some of our order discussions within Vietnam and some other countries that could lead to new work this year but it was only $900,000 of revenue last year and that's just not much. It was enough to give us margin to cover almost a month of our operations, it's not been ride home about but overall, more than 50% of all of the money spent by our company has been from margin or on consulting business since we started that business in 2008. We've needed to raise less than half of our money through equity raises and we have never had debt, so it is what as I said before, it is like having a debt equity ratio without having to pay it back and you look at the margin we've had on our consultants, so we'll evaluate that going forward and that what we should do with the consulting, and what the opportunities are, we are seeing, countries taking a more serious look at nuclear power, now that we've passed five years since Fukushima starting to come back we'll see if that happens, we think we're in a very good position to win work because we're the only company in the world that has actually written the plan, it is called a road map in the U.A.E. for new nuclear power for a country that never had it before, that actually as reactors under construction. And the U.A.E. is doing a absolutely fantastic job, with its project we are very happy to still being involved with it, and still working there are four reactors under construction that are I'd say the most on budget on schedule reactors in the world. And I think that we'll be looking at some more work as nuclear operators elsewhere. But in the end, we’ll finance the company as needed and with the progress made on our nuclear fuel which is the ball game for our shareholders, I think the bulk of financing is going to come from strategic audiences in that area.
David Waldman: Our next question is, if you could comment on the quantity of uranium, the enrichment levels of uranium and the environmental impact of the fuel for those utilities that switch to Lightbridge fuel?
Seth Grae: Okay. Let me start and try to remember those three and then turn them over to Andrey and Jim with that. But first on uranium quantities we have, in the past worked on a thorium-based fuel, which is not our focus now it’s the metallic, uranium, zirconium fuel, because that’s what the utilities want to improve their economics and their safety. And the thorium fuel that really had the savings in terms of quantity of uranium being mostly as thorium and all these some out of uranium, but the uranium zirconium fuel does not have that figure it uses uranium and nothing else to generate the power. The enrichment levels are still within what is considered the low enriched uranium levels, which is under 20%, under the International Atomic Energy Agency and U.S. Department of Energy guidelines and other global guidelines and the difference between low enriched and highly enriched. In fact for many reasons we can discuss it. More detail of those who want sometime the enrichment level of our fuel, we believe is overall the most non-proliferative enrichment level possible and I will commend you to an independent report done by Siemens on our fuel on the non-proliferation you could see on the Investor Relations page of our Web site that discuss is in great detail only the non-proliferation benefits of Lightbridge fuel including the enrichment levels. And the environmental impact, I would say that because of a power upgrade we’ll have by volume less than fuel per kilowatt hour of electricity generated than current fuels. But overall the main environmental impact is just nuclear power itself and having more of it nuclear power and there is nothing into the atmosphere hitting it’s no CO2 to put this in perspective, nuclear power generated on 19% of the electricity generated in the United States today and that 19%, is 63% of the non-emitting, non-carbon emitting electricity in the United States. And that’s partly why we and others say that it’s impossible for the United States or the world to lead its climate and energy goals without growth of nuclear power, it just can’t and won’t happen we have to have really good nuclear power with Lightbridge we get a growth of nuclear power without building any new reactors by upgrading the existing reactors and in Lightbridge we have growth the nuclear power by building newer reactors, because there is a much better economic and climate case, if those reactors generate 30% for electricity, because they are built around using Lightbridge fuel and the new build reactor, so just with the uranium quantities or environmental issues Andrey or Jim if you have anything to add?
Andrey Mushakov: No, it covers it.
Seth Grae: No, it covers it. Okay, did we have a follow-up on that?
David Waldman: Again, our next question is that…
Seth Grae: From email I guess no follow-up, yes. Okay.
David Waldman: Could you comment on shareholders’ equity requirement and the dollar threshold for continue listing on the NASDAQ and what steps the company is taking to maintain it? Thank you.
Seth Grae: Yes. I think it is $2.5 million is the NASDAQ threshold and Linda is nodding her head, so that’s right. And the reason we’ve fallen below the level is because of a step we took ourselves in looking under current SEC guidance on being the cleanest we can in our financial reporting possible where we went back and looked at the language in our old warrant agreements and decided to classify them as debt rather than equity. And it was that step taken ourselves which put us under that requirement and we did that knowing it would, but we are a company that wants to work with some of the largest companies in the world. And when we do in their due-diligence on us, we don’t want their auditors to come up with any issues which is flagged anything with Lightbridge. We are totally clean under Sarbanes-Oxley we are totally clean in our audit I will give a shout out to BDO, the fifth largest audit group in the world and accounting group in the world that just as we completed its first audit of Lightbridge and we’re very happy to be a BDO audited company including now clean reporting of how we are reporting on those funds. And as I said, we will now overcome that by bringing in additional capital as we’re doing through our Aspire equity line, as we will through our consulting revenue, as we will through strategic relationships that we think will bring in cash and as we will through new financial raises opportunistically won’t and then we think we’ll be needed to get us back. And frankly $2.5 million shareholders equity is not an instrumental amount we did what we did with the bars to be clean, to do what we felt was right believing we can overcome that we will. And also I’ll say just it is a separate but related issue in terms of quality here is we’re now compliant with NQA-1 the leading and highest nuclear quality assurance and that is needed for our partners like AREVA, like the Nuclear Utility Fuel Advisory board member utilities to take the data our project is generating and trusted themselves and have nuclear regulatory agencies be it in Norway or in the United States let the NRC take that data and use it and trust it for licensing. So just as important as our Sarbanes-Oxley compliance and our auditing on the finances is our nuclear quality control and auditing and I know that particular piece is not directly related to $2.5 million of stockholders’ equity for NASDAQ but it's indirectly related because we’re going to get the progress we need with these entities and the strategic relationships and the cash to overcome the stockholders’ equity because of how we’re executing under compliance with NQA-1.
David Waldman: Our next question comment from an investor, congratulations on the award from Innovator, can you comment on what role if any innovator will play with the Company going forward?
Seth Grae: Well, let me say the award was not from Innovator the award was presented by Prince Albert of Monaco and the conference was the Clean Equity Monaco Conference that is co-sponsored by Prince Albert’s foundation which is seeking clean energy solutions for the world and co-sponsored also by Innovator Capital. And the foundation in Innovator had independent experts sitting on the presentations there were over 200 companies considered for the conference there were 27 selected. We were very happy to be one of them our presentation was absolutely packed and we think Innovator and Prince Albert’s foundation for bringing such a great group of particularly European and Asian institutional investors to this conference. We were totally surprised when we won the R&D award for our innovation on nuclear fuel I think you should look at our investor presentation online to see some of what we presented on this brilliant nuclear fuel technology that has won this award by an independent experts, we had no idea that we were going to win it is fabulous to be called and go up and have a chance to meet Prince Albert and talk with him, it's online afterwards about our nuclear fuel which he knew quite a bit about from the independent judges who selected us I’ll add that the judges and the whole conference was not about nuclear, it was not even about energy, energy was only a part of it, it was about clean technology and they had companies there with improved air pollution sensors and all kinds of areas. And for us to win the award was very much a great honor. And specifically on Innovator Capital we were very pleased to be invited to be vetted by the independent, that vetted the companies for the conference and I’ll say that Innovator and its Chairman Mungo Park did an absolutely fabulous job on the conference. We met many-many institutional investors there, we met some strategics there and we’re very pleased with Innovator Capital. And it wouldn’t surprise me as we are increasing our footprint in Europe with our work in Norway in Sweden and in France in particular and we’re increasing our footprints with some discussions in Asia, it wouldn’t surprise me if in the future we do work with them. We are very pleased with that company.
David Waldman: Well, I think that concludes all of our questions. So I’ll turn it back to you Seth.
Seth Grae: Well, were already 11 minutes over but let me ask if Keith if you have any more live questions.
Operator: No, we have no questions at this time.
Seth Grae: Well, thank you Keith and thank you David. And let me just thank everybody being on the call. We’ve reached major milestones in the last few months including our agreement this week with AREVA NP and our agreement with BWXT, our regulatory approvals in Norway, other key developments we’ve announced. We’re very much on track with our commercial goals. Importantly our fuel is being recognized by major players in the industry. We believe our fuel will help start growth in nuclear power with enhanced safety and improved economics for operations of reactors. As you’ll see in our investor presentation which we keep changing a bit and posting new and updated versions online and look at ltbridge.com to see it. I think you will see the first self interest slide, Slide number 3 tells it all at Lightbridge we are developing a way to impact the world’s climate and energy needs soon enough to make a difference. Unlike the other green technologies that can’t support the world’s baseload energy requirements and new proposed reactor designs that are many decades away all too least to meet the world's climate energy, Lightbridge has a near-term solution, and we're going to be forced to market of all these new nuclear ideas by far, and the only one nuclear fuel for existing reactors, the others are all new kinds of reactors, they are many, many decades out and we wish them well but we are a bridge to the world between here and there to help the world meet its climate and energy goals. The progress we've made reduces risks for investors, based on our current market cap, and a conservative analysis of discounted future cash flows, we believe we have the potential to generate significant value for shareholders. We're no more pleased with current stock price and market cap than you are but it's also an opportunity. I'd like to thank all of our investors and we look forward to providing additional updates in the near future and by opportunity, I mean an opportunity to invest now, opportunity for something about low stock price, but in the meantime I’ll say our lines are always open at ir@ltbridge.com and the phone number is 1-855-379-9900 and thank you very much for listening, for asking great questions today. We look forward to being in contact until our next call. Good bye.
Operator: Okay ladies and gentlemen, this does conclude today's program and we thank you for your participation. You may now disconnect and have a great day.